Operator: Good morning. And welcome to The Andersons Fourth Quarter 2022 Earnings Conference Call. [Operator Instructions] Please note that this event is being recorded today. I will now like to turn the conference over to Mike Hoelter, Vice President, Corporate Controller and Investor Relations. Please go ahead, sir.
Mike Hoelter: Thanks, Joe. Good morning, everyone, and thank you for joining us for The Andersons fourth quarter earnings call. We have provided a slide presentation that will enhance today's discussion. If you are viewing this presentation on our webcast, the slides and commentary will be in sync. This webcast is being recorded, and the recording and the supporting slides will be made available on the Investors page of our website at andersonsinc.com shortly. Please direct your attention to the disclosure statement on Slide 2 of the presentation as well as the disclaimers in the press release related to forward-looking statements. Certain information discussed today constitutes forward-looking statements that reflect the company's current views with respect to future events, financial performance and industry conditions. These forward-looking statements are subject to various risks and uncertainties. Actual results could differ materially as a result of many factors which are described in the company's reports on file with the SEC. We encourage you to review these factors. This presentation and today's prepared remarks contain non-GAAP financial measures. Reconciliations of non-GAAP measures to the most directly comparable GAAP financial measure are included within the appendix of this presentation. On the call with me today, Pat Bowe, President and Chief Executive Officer and Brian Valentine, Executive Vice President and Chief Financial Officer. After our prepared remarks, we will be happy to take your questions. I will now turn the call over to Pat.
Pat Bowe: Thanks Mike. And good morning, everyone. Thank you for your interest in The Andersons and for joining this call. We're excited to review our overall operating results for the fourth quarter, which kept a record year for us. As we noted in yesterday's earnings release, strong ag fundamentals existed in 2022. And our team's performance has once again been exceptional. We ended with full year record earnings and adjusted EBITDA from continuing operations of $412 million. As we previously set aggressive targets for EBITDA growth. And I'm pleased to say that we exceeded our 2025 goal of $375 million to $400 million of EBITDA three years early. Later in this call, I'll discuss updated targets for 2025. The Trade business posted a record fourth quarter, which also kept a record year for the segment. Our fourth quarter results were led by improved performance across our asset footprint with rising basis values and storage income. Merchandising results were also very strong and benefited from our attention to customer needs, and ability to source grain for regions and countries with grain deficits. Our Renewables business again generate solid profits, but was not able to match last year's record quarter as industry crush margins weakened. Our low carbon feedstock business continues to grow and make positive contributions to our renewables segment. But Nutrient experienced mixed results with buyers on the sidelines as market prices have declined for major ag fertilizers. We did have good engagement on our fall application, especially liquids business. Manufactured product lines are also impacted by reduced consumer demand. I'm thrilled with the second consecutive year of very strong results. I'm very proud of our ANDE team and their performance in optimizing results in an environment of strong ag fundamentals. I'm now going to turn things over to Brian to cover some key financial results. When he's finished. I'll be back to discuss our early outlook for 2023. Brian?
Brian Valentine: Thanks, Pat. Good morning, everyone. We're now turning to our fourth quarter and full year results on slide 5. In the fourth quarter of 2022, the company reported net income from continuing operations attributable to The Andersons of $15 million or $0.44 per diluted share, and adjusted net income of $34 million or $0.98 per diluted share. This compares to adjusted net income from continuing operations attributable to the company, of $39 million, or $1.14 per diluted share in the fourth quarter of 2021. Adjusted pretax income attributable to the company of $50 million nearly matched a prior year fourth quarter record due to the sizable increase in the performance of Trade. For the full year, gross profit increased to $684 million, up more than $90 million, or 15% compared to 2021 on revenues of $17.3 billion. Adjusted EBITDA for the quarter was $104 million, compared to $130 million in the fourth quarter of 2021. Full year adjusted EBITDA was $412 million, almost $60 million better than 2021 adjusted EBITDA and a second consecutive record. Now, let's move to slide 6 to review our cash flows and liquidity. We generated fourth quarter cash from operations before working capital changes of $90 million in 2022, compared to $84 million in 2021. Full year cash from operations of $315 million is comparable to the prior year, which included $30 million of cash tax refunds. Our readily marketable inventory continues to exceed our outstanding short term debt, while commodity prices are higher compared to 2021, inventories on hand are down. Short term debt at yearend is seasonally low due to timing of producer payments after harvest. Typically, our highest borrowings occur in the spring as a result of our seasonal businesses. We continue to have adequate liquidity amidst ongoing volatility and have strong support from our banks, as they understand the key role that we play in the ag supply chain. Moving to slide 7, we continue to take a disciplined approach to capital spending and investments, which were $110 million for the year, about half of which related to maintenance capital. Our long term debt-to-EBITDA remains well below our stated target of less than 2.5x. In addition to the previously mentioned capital spending, we closed on two separate bolt-on acquisitions during the quarter, Bridge Agri in Trade and Mote Farm Service Plant Nutrient. Both are performing well and integration is underway. We continue to evaluate growth projects in our pipeline, including additional M&A opportunities. We have a balance sheet that will support growth investments for those that meet our strategic and financial criteria. We continue to utilize our share repurchase program executing over $5 million of share repurchases in the quarter. The total cash used for this program to date is over $14 million through January. Now we'll move on to review of each of our businesses beginning with Trade on slide 8. Trade reported pretax income of $27 million and adjusted pretax income of $52 million in the fourth quarter of 2022 compared to adjusted pretax income of $27 million dollars in the same period of 2021. Fourth quarter 2022 adjusted pretax income excluded approximately $25 million of charges resulting from insured inventory damaged in a fire and an asset impairment. Our merchandising teams continue to execute well in these dynamic markets, with gross profit increasing 30% and adjusted pretax income nearly doubling from the prior year. Increased elevation margins and our grain assets also improved significantly from the fourth quarter of 2021. Trade had adjusted EBITDA up for the quarter of $72 million compared to adjusted EBITDA of $42 million in the fourth quarter of 2021. For the full year 2022, Trade had record adjusted EBITDA of $199 million, which was up more than 30% compared to $151 million in 2021. Moving to slide 9, the Renewable segment reported fourth quarter pretax income attributable to the company of $13 million, compared to $27 million in 2021. Ethanol crush margins were substantially lower during the quarter, especially compared to the extreme highs in the fourth quarter of 2021. Continued strength and corn oil values and execution by our renewable diesel feedstock merchandising team helped offset the lower ethanol crush margins. Renewables had EBITDA of $36 million in the fourth quarter of 2022, compared to $78 million in the fourth quarter of 2021. For the full year, Renewables generated record EBITDA of $180 million, compared to $166 million in 2021. Turning to slide 10, the Plant Nutrient business reported fourth quarter pretax income of $2 million, a decrease from the record of $16 million generated in tight fertilizer markets during the fourth quarter of 2021. The business experienced lower margins in our agriculture products, as fertilizer prices continued to drop dramatically during the quarter. Farmer income remains high, which supported higher margins in our specialty liquids products. However, volumes were lower in anticipation of further declines in fertilizer prices. Our manufactured lawn products business also experienced slower demand and some additional inventory write-downs which we believe are now behind us. Plant Nutrient’s EBITDA for the quarter was $11 million, a decrease from $24 million in the fourth quarter of 2021. For the full year, Plant Nutrient had EBITDA of $73 million, which was comparable to 2021. And with that, I'll turn things back over to Pat for some comments about our outlook.
Pat Bowe: Thanks Brian. Coming off a second consecutive record year, we remain excited about our prospects for 2023. Ag fundamentals remain favorable. We're well positioned to execute in this environment. We expect ongoing volatility in dynamic grain markets will continue to provide good merchandising opportunities. At this time, we expect higher US corn plantings, which is positive for all of our business segments. Yield challenges in the western Corn Belt from the 2022 harvest will continue to influence markets well into the fall. We expect Trade to continue to perform well and execute on these opportunities. Return of storage income to wheat, and higher spring corn plantings should be positive for Eastern assets. Ethanol crush margins have been low to start the year. However, we believe that spring into three maintenance shutdowns and increases in driving miles may positively influence in the second quarter. We're also making a number of investments in our plants to improve both the quality and yield of distillers corn oil, a low carbon intensive input to the renewable diesel industry. And we continue to benefit from strong oil values. As renewable diesel production ramps up, we're well positioned to support plants through our numerous supply agreements on various feedstocks. On farmer income and increased corn plantings are expected to continue to drive demand for our fertilizer and especially liquid products. We believe that declining prices in this period prior to fieldwork has kept buyers on the sidelines. We expect to see higher volumes in plant nutrient as we approach the spring planting season. But we'll likely see more normalized margins lower than last year's peak. With these delays in purchasing have an available product near key crop production areas in the eastern Grain Belt is an advantage. We continue to closely monitor risk in our core fertilizer positions as market prices have declined, but must also be ready to serve our customers when they need our products. We anticipate further growth in our specialty liquid fertilizer, and industrial product lines. Next, we'll revisit our growth strategy as described on slide 12. Our strategy remains to grow within and adjacent to our core grain and fertilizer verticals, as global demand for food, feed and fuel is expected to grow. These areas include sustainable and carbon reduction opportunities. As mentioned in our earnings release, we have many projects undervaluation in our pipeline. We have proven our ability to execute new projects, but also exercise discipline while growing our company. We expect to continue to focus on these markets as we bring our unique ability to remain nimble and innovative across these verticals. Our balance sheet remains strong with capacity to fund growth, and our leadership is focused on delivering against our strategy. We're particularly excited about the renewable diesel feedstock market opportunities, as we're well suited to provide inputs and services to refiners, merchandising third party renewable feedstocks, and enhancing our own corn oil production processes. In addition to expanding our organic fertilizer offerings, we're developing innovative new specialty products for consumers and growers of crops beyond traditional row crops, including biologicals and micronutrients. We will also consider M&A within our core areas of strength, including farm centers within our fertilizer footprint and product line extensions for our manufactured products. We are turning now to slide 13, want to provide an update regarding our progress against EBITDA goals. In late 2017, we established an EBITDA goal of $300 million by 2020, which was approximately double our 2017 result. Since that time, we increased our EBITDA target to $350 million to $375 million by ‘23 and $375 million to $4 million by 2025. Given our strong performance over the past two years, we've now exceeded these goals well ahead of schedule. As such, we are revising our 2025 EBITDA target up $100 million to $475 million, which will represent a compound annual growth rate of almost 20% from 2018 to 2025. And I'll provide you a little bit more detail on slide 14. With this new target, we expect to maintain discipline in our approach to capital investment, keep our long term debt- to-EBITDA ratio less than 2.5x and continue to improve ROIC while continuing to optimize our portfolio. On this chart, you can see our historical EBITDA by business segment, and where we expect to grow in each segment as we move toward our $475 million goal in 2025. Because of the volatility in ag markets, this growth may not be linear, but overall fundamentals remain positive. And we're excited about our growth prospects. Our team is committed to providing exceptional service to our customers, and will continue to make decisions that support steady growth and strong shareholder returns. I'll now turn the call back over to our moderator, Joe, and we'll be happy to take your questions.
Operator: [Operator Instructions] And our first question here will come from Ben Bienvenu with Stephens.
Ben Bienvenu: Hey, thanks. Good morning, guys and congrats on the quarter. I want to ask Pat, if you could, you talked a little bit in spots about how you expect things to evolve through the balance of this year with respect to, I think you talked a little bit about renewables. You talked about plant nutrient. Can you talk a little bit about the cadence of earnings as we move through this year? And where you feel most versus least confident and maybe where your blind spots might be as you think about the full year EBITDA opportunity.
Pat Bowe: Sure, Ben, yes, good question. So I think overall, as I mentioned, I think we, our earnings are going to moderate some coming off the peak earnings of this past year with the commodity prices really soured in ‘22. As you well know, fertilizer prices are down almost 40%, 50% from the peak, for the time in Ukraine war. So we don't have the environment we had with a high inflationary pressure on commodities that we had last year. Having said that, we still felt pretty confident about the original targets we put forward for 2023, which was $350 million to $375 million EBITDA, we felt good about that. I think it's the weakness is in the early part of the ethanol cycle. So this first quarter, as you well know, board crush margins have been soft. Corn base has come off a little bit, and we have good, pretty good feed values and oil values. So we could see that reversed later in the year. And we're optimistic to see a turnaround in ethanol, but we're starting out a little softer, maybe than we would have liked. The other point would be in the fertilizer markets with the weakness in fertilizer prices. The farmer, as we mentioned, is sat on the sidelines as markets have come down quite a bit. We're right at that time of year right now, we're at 60 degrees here today. So hopefully, we can start to get some decisions made by the growers and wholesalers to get active to prepare for spring application season, because it hasn't really engaged yet. So we're a little bit behind where we normally be, we're optimistic on volume, with an increase of, expected increase in corn acres in planting, we think we'll see a good volume of fertilizer production. So that's an area that we think was like ethanol start out a little weaker, but then may have a good or stronger finished to volume later in the year. On the grain side, I think we've haven't seen the Chinese come to the market as big as we did in previous years. But it's expected as they've opened up their economy a little more, with COVID restrictions being lifted. But we're still remaining to see that. Having said that, we've got good wheat storage income, expect a big suffered wheat crop, which is good for our eastern assets. And again, higher corn acres. So I think there's going to be trading opportunities that can play out well for us later in the year, we'll probably have a slower start, and hopefully a stronger finish to the year.
Ben Bienvenu: Okay, that makes sense. I know area of investment and growth for your business has been your renewables and feedstocks capabilities around trading, sourcing, origination. Can you talk a little bit about as we look forward how much of that business for ratification is volume dependent versus price dependent? And maybe any thoughts on to start the year why that your oil prices might have been a little bit softer? And would it be your expectation that we see things firm as we move through this year, and we start to see incremental renewable diesel production come online?
Pat Bowe: Yes, a very good point, Ben. So a couple points there. One is we set up a couple years ago, the renewable diesel trading desk, we've been successful in originating feedstocks for our de manufacturers, in addition to our own corn oil production, it's an area we'd still like to grow. We've looked at a couple acquisitions there. We haven't done anything big at this time. But we'll still continue to look in that area. Because we think that it's going to be an area of good opportunities for us as a merchandiser as we go forward. And as you mentioned, I think on the plant startups, some are a little bit behind. So it's a question of when the RD startups are relative to the feedstock demand. So I think we are a little bit behind which maybe it's put some pressure on it. But as those there's a couple of big ones coming online, which will drive demand backup for feedstocks. So maybe it's a -- maybe taken our breath a little bit on this very important journey on RD growth, and that we do expect to see really strong demand at the end of this year and into the next year or the year after that for renewable diesel demand. So we're still very optimistic about that segment.
Ben Bienvenu: Okay, great. I want to think longer term and I do want to ask you about your new financial goals that you laid out here. But I want to talk a little bit theoretically longer term about sustainable aviation fuel. The extent to which you expect you'll participate in that, the likelihood of that as a meaningful opportunity to firm up industry S&D and maybe provide you guys with nice offtake and what sort of partnership if any, you might be interested in considering as you think about the future?
Pat Bowe: Yes, it's another good question, but it's an area that we're quite excited. About. We don't have anything to announce at this point. Sometimes with new tech technologies, sometimes at least personally, and I want to be on the bleeding edge, I like to be a fast follower, and be aligned with big players in those segments in the oil industry that supplied the aviation industry, as our ethanol business, we are partners with Marathon Petroleum, and we've been benefited from that upstanding partnership for many years. We both look at opportunities, optimistically for SAF in the future, we think this is going to be a key focus for both the government and the industry to look at, looking at cleaner fuels for the aviation industry. We think that's going to happen, exact timing and exact technologies will probably remain to be seen. And it's an area that we see ourselves participating in. We just don't have any specific announcements or partnerships to name at this time. But scenario, that's going to be very good for our industry. It's a thing when I say our industry, for the renewables industry, and for agriculture in general. So we've been through a few of these, over the years, whether it's the beginning days of ethanol that I was involved in many years ago, or now the beginning days of renewable diesel, the same will be true for sustainable aviation fuel. And we think that can be a nice new opportunity for ag processors to participate in in and a nice benefit for the ethanol business. So it's a stay tuned, you hear lots of announcements and a lot of things that have been going on in the last couple of years, we're still just continuing to build that segment out and lots of things are still to be played out in its future.
Ben Bienvenu: Okay, fair enough. Brian, if I could ask about the CapEx budget, can you help bucket out your spending for this year? And then to the extent you guys are spending on growth, CapEx, what is a reasonable timeframe in which we should start to see some associated operating profit from the investments in the ramp of those projects?
Brian Valentine: Yes, sure, Ben. I would say, for 2023, I would bucket our ballpark CapEx spend in the range of $125 million to $150 million. I would characterize similar to how we have in the past; I would expect about half of that to be in the maintenance capital category and the rest growth. And I would expect we have a number of projects that have been in our backlog and pipeline kind of coming online over time. So I would say as you think about modeling those, as you get toward the latter half of the year and then into 2024, starting to see those layering in and contributing in a positive way similar to the ones that we've had in previous years.
Pat Bowe: If I can add on to that, Ben, you asked about in a previous conference call we talked about growth CapEx and I use the baseball analogy of singles and doubles. And those being smaller to midsize acquisitions. Just want to highlight we closed on two in this past quarter. One is Mote Farm Service, a farm service center in our sweet spot here in Ohio Indiana border, as well as Bridge Agri, which is a pet food ingredients business out in the west. As you remember previously, we purchased the company Capstone Ingredients in the southwest dairy markets. So these are the singles and doubles that have become immediately accretive, these acquisitions have already been integrated and providing cash right away. So this is kind of bolt-on that make a lot of sense for us. And we're optimistic with others in the pipeline that we'll be able to close on some of those in this coming year.
Brian Valentine: And Ben, just to clarify any acquisitions and similar to these bolt-on would be above and beyond the $125 million to $150 million. So the $125 million to $150 million would be our CapEx for maintenance capital and growth capital investments in our facilities, and then M&A can be up on top of that.
Ben Bienvenu: Okay, great. Last one for me, thinking about these new financial goals that you laid out. How much do you have to spend to get to that level of EBITDA? And then how much of it is dependent on just a continuation of type SMB around all the markets in which you participate?
Brian Valentine: Yes, I would say the way we're thinking about it right now is that kind of a balanced mix of organic growth and growth investments, whether they be internal and our CapEx, so just kind of modeling those out depending on which side of the business those are in could kind of lead you to a number in that regard. I would say we also as we look at it cap reference singles and doubles. We continue to stay focused on maintaining our long term det-to-EBITDA to 2.5x or below and we have plenty of capacity within our existing capital structure, we believe in our balance sheet to be able to fund the growth investments.
Pat Bowe: And in that regard, Ben, like, we would estimate it if you want to call it 50:50. But as you know, those things are lumpy. And when something comes around, we said, at our current debt ratio of 1.4x we have capacity to make a bigger deal if the right opportunity comes. But we want to keep it core to our verticals and in areas that make a lot of sense for us. But we do see opportunities for growth. And that's what's called a balanced mix, as Brian said, over the next couple of years, between our just growth that makes sense to our core businesses, as we're putting capital to strengthen our grain elevators and fertilizer plants and ethanol plants, as well as new geographies or new product lines for us.
Operator: Our next question will come from Eric Larson with Seaport Research Partners.
Eric Larson: Yes, thanks, guys. Congratulations on a fantastic quarter and year, well earned. So congrats. So my first question, I know you guys don't guide quarterly. I'm not even asking for that. But can you just give us, Pat, just a little bit better flavor, kind of on a cadence basis, the first half second half. You had the onset of the Ukrainian war last year, you were able to take advantage of a massive increase quickly in board prices, locked in some really good numbers for later on in the year. Would you -- how should we think that maybe it's less front end loaded and more back end loaded again? Or how, give us a little because we don't know how all those contracts actually came to fruition? Just give us a little help on how we should be modeling first half, second half?
Pat Bowe: Sure. No, exactly. Essentially, I think about it. We're coming up. I mean, it was the 20th, I think when the war broke out of February one year ago, right. So initially, it was quite a concern about positions, et cetera. But really got the grain and fertilizer markets really rocketing as you remember, I think we have the opposite situation this year with weak fertilizer markets we talked about earlier. And you know this well, Eric just not lot of engagement so far. Ethanol crush has been very weak. So the first quarter is going to disappoint. I think we're going to be behind where we'd like to be. So I'll start out slow. Second quarter, I'm quite optimistic. So I think we'll see that engagement on fertilizer with plant shutdowns and hopefully increase driving miles, we could see ethanol margins turnaround. And I think there's good opportunities for the grain trade business. We have as you know, again, Eric, we have -- we didn't come with wheat carries that are looked good. We have a big wheat crop. So as we get into the summer, wheat harvest will be good for us in the East. And I think there's going to be good merchandising opportunities when we talk about second, third quarter, still inverted cash markets in grain. So weak start to first quarter and then we'll see an improvement second, third quarter. Fourth quarter, we get a whole another crop then right. So we got time to wait and see. But we still feel this can be a good year, like I said back on the pace we said before we said $350 million, $375 million couple years ago, we thought that'd be a great number. So I think we'll be on pace to do something along the lines of that just not at that peak pace of last year, that would take a really big change, like an ethanol fundamental or something to make that happen.
Eric Larson: Okay, good. So diving a little further into that. So the one thing that you're going to have positive again till the new crop is harvested this fall. We don't have any corn in the western Corn Belt. You had a great year in the eastern Corn Belt last year. Good harvest, you've got corn there. Are you being you getting corn? Are you shipping corn to the western Corn Belt to feed lots? Will that continue? And the basis in the West is just off the charts. It's pretty amazing. Where some of these numbers are, can you give us a little help on that?
Pat Bowe: Yes, sure. Absolutely. One of our product lines we call Midwest Truck and that's a very active business and a big business for us but we're moving trucks across the Midwest from points of surplus to points a deficit, so this is a lot into the Texas feedlot Kansas, Oklahoma markets and moving Nebraska and then what's further Eastern grain to these areas of shortfalls. That's been a very good business for us, the last couple of years, we expect that to continue. So that's on the positive side. Also, on the positive side, our ethanol plants are big plants located in the east are well positioned with good corn bases. And we've been operating well, from a run rate perspective. Our western plants, as you know, we have the Colwich Kansas newer plant has really struggled because of high basis levels there, that's been difficult. And some of those premiums we anticipated originally for the California market just haven't been there. So that's been difficult for us, as well as Denison Iowa has also had a little bit higher corn basis, but it's not quite as bad as Kansas. So we have had some of the negative side of that, although Kansas has a smaller plant, we have made up for that with our trading opportunities in grain. So that's a good place for us to be as far as our Midwest merchandising business, and we continue to see that to be an active profit center in ‘23.
Eric Larson: Okay, next question. So we had some really difficult export conditions on the Mississippi last fall really dry conditions, low water levels, I think it restricted a bunch of exports. Now we haven't seen China, we're all expecting China to come back in but we're going to get that Mississippi replenished here pretty quickly. We've had a lot of snowfall, it's warming up. We have an inch and half of rain up here yesterday. So this is going to end. Do you think that that little Mississippi that getting the Mississippi back to a better water level for our barges? Do you think that's going to help the exports in the next month or two? Or do we need to see Brazil kind of run more out of corn before comes back to the –
Pat Bowe: No, you make a good point, Eric. I think we'll get back to more normal navigation on the Mississippi. I mean, those challenges with low water the mid Miss last year really kind of upset things. At the same time is remember we had pretty poor service from the major railroads last year. So logistics was a difficult challenge last year. Interesting enough as the barge market is improved, or navigation improved, so has rail logistic, so rail logistics has improved in our industry here of late in the last couple months, which is a good thing for all of our customers. The big question is the demand and as you know, Brazil, crop conditions have improved. Chinese have approved Brazilian corn for imports. So maybe we're just late to see Chinese demand. Hopefully, we will see it come back to the market to drive [inaudible] that can be very important for the US bases this year. We'd really like to see that export program kicked back in. The other side container freight has actually improved too. So we might start to see some shipments by container. So the export markets as far as the US is concerned is ready to serve. We just need to see the customers show up.
Eric Larson: Okay, so are you still shipping a lot out of the Great Lakes right now?
Pat Bowe: Yes, it's been a really good year for Great Lakes shipment for us and not frozen, which is unusual. We had, I think, almost record volumes and led by soybeans. So well sounded like I said a big year on wheat. The Ontario crop plantings are, were really good, as well as Michigan, Ohio, so it's going to be a big, soft red wheat year for the Lakes, as far as potential delivery and economics for wheat. So there's a good situation for The Andersons when it comes to the Lakes.
Eric Larson: So another demand question here. And this relates to our US livestock. We obviously know that the beef herd is down very substantially. It's the lowest in something like 50 or 60 years in terms of total numbers. It looks like when we could actually give, look at hog production margins we could actually maybe see the hog production start kicked back up again. How do you look at that overall US livestock demand for feed. It seems to be an area of controversy today.
Pat Bowe: Yes, I mean I am by far an expert on livestock demand. But as you nail that there, we've seen a lot of cattle come off feed, economics in the West have just been really difficult with high grain prices. But we do see there's going to be a change, just follow the consumer right so as inflation, will it continue to trim demand or will people be again chicken and pork eaters as well as just basic hamburger barbecue season this year. Will we see it come back at the retail level, thus driving demand and we could see that obviously in the chicken and hog sector first. I think this drought in the West is going to have to be relieved in order to see cattle back on feed in a big way in the far west. So that's we kind of a different fundamentals as far as it is a feeding economics and as you know, these are cycles that take quite a while to turn but long term, we're still in good position as an industry for cattle feed in the United States. But I think we're going to see like you said, some tight supplies here this year.
Eric Larson: Okay, so we're halfway through the month of February, crop insurance prices are -- we're in price discovery for crop insurance for the farmers. So far probably better than I would have thought, honestly, we've had pretty good grain prices this month so far which means that you will have farmers trying to maximize yields next year, your liquids should be strong. Farmers are going to have the income. How do --, do you think that this could compare favorably first year-over-year in your second quarter? I mean, you had a good, your second and fourth quarters are obviously the ones that we really have to focus on. Obviously, third is getting more important, too. But how does all that stack up for your second quarter?
Pat Bowe: Right. Everything you said is totally true, in fact that we just had one of our big growers in Michigan come through town to this morning, who I met for breakfast on his way to the big farm show in Louisville this year. And it's interesting to hear his input about his cash returns being the highest last year and spending on seed and inputs and how much more expensive they are, but still getting good returns per acre on that, all the things that you know. So they want to maximize yields. We think that's positive for liquid specialties. We think it's positive for volume. We're still concerned about margins, because it's a late, remember last year, prices were really skyrocketing at the time, there was a shortage. The river was out, as you said, and supplies were tight. So farmers were all concerned and wholesalers about getting volume. This year, that's not the concern is more of a pressure on prices. So I'm concerned a little bit about margins as we enter the spring season. I think volume could be up though our ag wholesale business. The other thing that hurt us in the fourth quarter was a weak consumer business. So the consumer products in lawn and garden really just fell off a cliff and left a lot of people with excess inventories. And we were a victim of that as a wholesale producer there. And we had to discontinue and eliminate some of the products we had in storage, which took some write-downs on that in the quarter, which we don't like to do. Seeing that come back, we'll probably a slow return too, so we're kind of moderate on how quickly fertilizer market is going to rebound. We do forget about the volume. And once we get the grower to engage, we should have a really good volume side. Margins remain to be seen, Eric. So that's what I'm going to be cautious on. I'm not, we're not hitting the panic button. We just don't think we'll be as good as last year. And it'd be hard to top last year's margins.
Eric Larson: Yes. Okay. I mean, that makes sense. So look, there's a lot of concern out there about farmer income this year. And I've tried to kind of disseminate some of those fears. I mean, we're not going to have the government support that we had last year, the farmer returns are going to be down. But what people I think forget is that we're still going to generate, let's say, $120 of profit per acre, that's still mounds and steps above what average income is for us on the farm. So the farmers are going to have money this year. As we see it right now, obviously, I mean, things could change, as you know, and they can change quickly. But it should be a really good farmer income year again and well above average, even though it'll be down and down pretty substantially in some cases year-over-year. But with all that being said, Pat, what would be your -- you've already highlighted some of your top concerns, fertilizer margins, what else in terms of a headwind that we should or headwinds that we should keep an eye on? What are the top three or four concerns?
Pat Bowe: I think, let's start with the positive side. As I mentioned, we have high farmer income as you just talked about. We've had high commodity prices; we still have a tight global commodity backdrop that keeps our business pretty excited. And this trend is continuing. Because unfortunately on the heels of the extended Ukraine war, Brazil productions gotten better, they've been -- they’ve gotten good rains so production should be better. So a little bigger crop, waiting to see what's going to happen with China on demand. So we'll watch that what's happening there. And near term ethanol has been a little weaker than it was a year ago. The backdrop, though, is still pretty positive. This renewable diesel demand growth is a big impact on industry. And that's going to be helpful. I think we still see global exports as an attractive on a broad scale. And we still have our customers on both ends on the food and feed and fuel sides still very strong. So in general, I think you've heard from others in our industry already. We feel the overall trend continues to be tight and optimistic, but just not at the fervor pace we had last year where we started out so strong.
Eric Larson: Okay, one final question. Wheat has generally been a big merchandising crop for you guys, particularly spring, particularly the soft wheat varieties. Give us, tell, how did your wheat business do last year? And how should we look at wheat this year? Do you have much in storage? Are the plantings looking good favorable for you in the eastern Corn Belt? Give us a quick rundown on how we should get wheat.
Pat Bowe: Yes, good points, Eric. I don't know the exact numbers off the top my head. But your answer is just that we have strong wheat volumes and storage higher than we had a year ago. We have wider carries on the Wheat Board than we did a year ago. We have higher plantings than we did a year ago and looks to be crop conditions so far in our dry area on soft red wheat, which is Ontario province in Canada, as well as Michigan and Ohio all look to be in good shape and no big winter kill. So we're expecting a good soft red wheat production. And with carriers in the market, we will have higher wheat income. US wheat isn't really, especially soft wheat isn't factoring into the global export grid, Russia is still dominating the export trade. We still participate in a global export trade that we're involved in with wheat in all parts of the world. And hopefully we'll have wheat exports out of the US and hard wheat at a Texas Gulf in good shape that can help our overall wheat program this year. So bottom line, we're bullish on wheat. Even though wheat prices are relatively a little bit calmer than when it comes to corn or soybeans. It's going to be a good income source for ANDE.
Eric Larson: Okay, so one final question and for Brian. Brian, you said in your prepared comments, RMI is higher than all of your short term debt. You guys got a great balance sheet here, and last two years have really liquefied you guys dramatically. So prioritize in front of -- for me what you're going to do with the balance sheet, obviously, some bull bonds. You've had some fairly small share buybacks. You've got dividends. I mean, how -- what's your priority for all the cash that you're generating right now?
Brian Valentine: Yes, I would say it continues with the balanced approach, I would say our first preference would be to invest in good solid growth projects and bolt-on acquisitions that will help us continue to make good progress toward that $475 million goal by ‘25. At the same time, you just said it, we have a share repurchase program that we've started to execute under and I would expect us to continue to utilize that program. As makes sense we've paid a dividend now for probably I don't know, as long as the company has been public and over 100 consecutive quarters, I would expect us to continue to just take a call it a very logical approach to that and wouldn't anticipate any kind of big special dividend or anything like that. But I would say a balanced approach that enables us to hopefully prioritize good, solid growth projects and returns but with some balanced return to shareholders.
Operator: With no remaining questions, this will conclude our question and answer session. I'd like to turn the conference back over to Mike Hoelter for any closing remarks.
Mike Hoelter: Thanks Joe. We want to thank you all for joining us this morning. Our next earnings conference call is scheduled for Wednesday, May 3, 2023 at 11 AM Eastern Time when we will review our first quarter results. As always, thank you for your interest in The Andersons and we look forward to speaking with you again soon.
Operator: The conference is now concluded. Thank you very much for attending today’s presentation. You may now disconnect your lines.